Operator: Good day everyone and welcome to today’s program. At this time all participants are in a listen only mode. Later you will have the opportunity to ask questions during our question-and-answer session. (Operator Instructions) My name is Katie and I’m standing by if you should need any assistance. It is now my pleasure to turn the call over to Mr. Mick Blodnick.
Michael J. Blodnick: Welcome and thank all of you for joining us this morning. With me this morning I’m calling from Boise where I just finished giving a speech this morning so I’m in Boise, Idaho this morning but with me on the other line is Ron Copher, our Chief Financial Officer, Don Chery, our Chief Administrative Officer, Barry Johnston, our Chief Credit Administrator and Angela Dose, head of our accounting department. Last night we reported earnings for the third quarter of 2008. Earnings for the quarter were $12,785,000. This compares to $17,639,000 in last year’s third quarter. Diluted earnings per share for the quarter were $0.24 compared to $0.33 in the prior year’s quarter. On October 29 we reported our exposure to Freddie Mac and Fannie Mae preferred and common stock. That exposure was $0.09 after tax. We never like to take any loss and honestly I never thought this would be the type of investment we would lose on. Fortunately, we didn’t have a large position in the preferred; nonetheless it is regrettable. In addition to the other than temporary impairment charge we did have an after tax gain of $1 million on the sale of our Ketchum, Idaho office. We continue to increase equity within the company, tangible stockholder equity into the quarter at 8.11% versus 7.93% in last year’s quarter. Tangible equity increased by $47 million from 13% in that same time period. As we’ve been saying all year our focus is to continue to build our equity position and in this current operating environment it definitely seems it’s been the right thing to do and I’m sure we’ll get more questions about that as we get into the Q&A section. Asset quality for the quarter was a mixed bag. As I stated last quarter we expected non-performing assets and net chargeoffs to increase in the second half of the year. We expected NPAs probably to come in around 1% of assets but they ended the quarter at 1.3% of assets. Because some of these projects did not have the sales that we would have expected even though they were still servicing the debt, we chose to put these credits on non-accrual and not have to back out interest at a later date. Net chargeoffs for the quarter were also higher than what we experienced in the first half of the year. Net chargeoffs in the quarter were $3.9 million and that brought the total for the year to $5 million or 13 basis points. We’re still hopeful we can end the year not too far from our long term goal which has always been net chargeoffs of 15 basis points or less. On the positive side we did see further reduction in our 30 to 89 day delinquencies that now have gone from $45 million at year end to $25 million at September 30. Our loan loss reserve ended the quarter at 1.67%, up from 1.59% the prior quarter as we provisioned $8.7 million during the quarter compared to $5 million the previous quarter and $1.3 million in the same quarter last year. We expect asset quality to continue to be a challenge over the next couple of quarters. Hopefully it remains manageable as it has through the first three quarters of 2008 and we don’t experience an extended period of further deterioration in real estate values or activity. Sequentially, our net interest margin and this is something that I’ve been talking about for three straight quarters but it finally did take place this quarter, we saw a decrease of 10 basis points in our third quarter margin down to 4.65%. That however is still up from 4.5% in last year’s third quarter. Again, the loans that are sitting on non-accrual status would have and in addition to the interest that we backed out on the preferred stock accounted for six of the 10 basis points of compression in the margin. However, as I mentioned last quarter we did not expect to hold the margin at the lofty level of the second quarter in the first place. The good news was it held up much better than I expected and our net interest income did also increase 2% on a link quarter basis and our net interest income is up 14% over the same quarter last year so we really were not very disappointed at all in the performance of the net interest margin, especially when we look at what our expectations were for that margin coming into the year. We have far exceeded those expectations. Part of the reason for the margin holding up so well is our funding costs are still having a positive impact on our net interest margin. Our banks continue to do a good job of managing as well as our senior staff, the holding company of managing the funding costs and we’ve just got to see where obviously with the expectation of lower rates again next week. We’ll have to continue to evaluate what impact that could have on our margin going forward. Interest expense again decreased 1% during the quarter where we gained 1% in interest income so ultimately that’s what led to the 2% change over the prior quarter. Loans grew by $102 million or 11% annualized in the third quarter. This continues to be higher than our projections and also through nine months loans have also grown at 11% annualized clip and that again is just higher levels of loan growth than what we were looking for at the beginning of the year. Because of the seasonality that’s built into our loan production, we would expect the fourth quarter and the first quarter should be slower. Where we ultimately end the year out at, it probably is going to be close to about double digits for the calendar year 2008 but we’re fully expecting a lower fourth quarter and first quarter, not just because of the seasonality but I think also due to the current credit environment that’s facing the country. And again we’re not immune to that. Our efficiency ratio increased by 1 basis point to 53% and this again, if you exclude the OTTI charge and that’s 1% up from the 52% the prior quarter but it still was a decrease of a couple of percent from the 55% efficiency ratio for the same quarter last year. So the overall trend there is still positive when it comes to efficiency. The states of the economies we operate in continue to still do reasonably well. Unemployment levels, they’re below the national average but those unemployment levels are rising in the states that we operate in. It continues to be a difficult operating environment for banks and again as we’ve said many times we’re not totally immune to the many issues facing banks today. However, we fully expect that so far we’ve been able to navigate through these historic times in pretty darn good shape and we hope that we can maintain this same level of performance through the last quarter of the year and then we’ll have to wait and see what next year holds. There’s a lot of, obviously there’s a lot of stimulus in the system; there’s a lot of things that have got most bankers either totally confused or at least up in the air as to what to expect in 2009 but we like where we’re at. I think we’re going to continue to aggressively deal with the slightest tinge of asset quality issues and we’re going to make sure that we’re absolutely doing the right thing to adequately provision for any asset quality issues that we see on the horizon. So with that again we’ve got the other senior staff members on the phone and I will open the call up and be more than happy to take any questions.
Operator: Your first question comes from Chris Stulpin – D. A. Davidson & Co.
Chris Stulpin – D. A. Davidson & Co.: Hey, Mick, is it possible to get a breakout percentage of each loan category that is in your NPA bucket?
Michael J. Blodnick: Yes. Barry, you’ve got those numbers don’t you?
Barry Johnston: Yes I do. Why don’t we go through those? Just before we start there’ll probably a lot of questions on asset quality and maybe I’ll just preface it with echoing Mick’s comments and maybe get some of those out of the way. As Mick mentioned, at the second quarter we fully anticipated that NPAs would increase in the third and fourth quarters along with net chargeoffs in relation to those and that happened. We anticipated that; we noted that in our last conference call and given the market conditions at that time it was fairly certain that that’s the direction we were heading. What we didn’t anticipate is real estate sales primarily on developed lots did not materialize at the level that we had hoped. If anything the trends went the other way. If it wasn’t flat it was down and generally across the board in all of our market areas, lot sales are down 40% to 60%. We did not fully anticipate that would be the case; we were hoping that things would stay flat and we’d have a relatively minor sale season but nothing to the extent that actually transpired so that in essence is what has caused half a dozen projects in our respective market areas not to have, have little or no sales and resultingly we took the very aggressive stance that a lot of these loans, even though they were contractually current the borrowers did not have the sales and did not have the apparent secondary support to continue to carry the projects. So rather than continuing to accrue interest we aggressively placed them on non-accrual. We got updated valuations supporting the values and where there were any deficiencies we have taken the loss. And so that’s the background on where the NPAs came from; primarily, the increases came from the Flathead Valley. There’s $22 million increase in the Flathead Valley here out at Glacier Bank centered in eight properties, six of which were acquisition and development loans and two are commercial loans. And those two commercial loans were directly related to the real estate construction industry. The other increase came about $13 million out of our affiliate, Mountain West Bank and three credits primarily, a large builder up in the San [inaudible] area for $5.4 million, a builder in the Boise area for $5.5 million and two spec home loans for $2 million each. Well, actually one’s a private residence; the other’s a spec home loan to the same individual for $2 million each in the Sun Valley/Hailey area and that’s pretty much our increase other than a small increase in Western Security for $1.4 million on a commercial loan and one loan in Big Sky Western. One relationship, three small developments, relatively small developments for $4.5 million. And that’s where it come from; it’s all A&D, generally across the board is A&D and it’s real estate related with the exception of three commercial loans. Respective losses that we took during the quarter –
Michael J. Blodnick: Excuse me, Barry. Excuse me, the three commercial loans totaled about, it was about $7.5 million?
Barry Johnston: $7.5 million. That’s correct. And on two of those commercial loans we took $875,000 in total losses. That made up the bulk of that. We also took a $1.5 million loss on a subdivision located southwest of Boise for $1.5 million and that’s the additional $2.5 million increase in the Boise market. Fortunately for the Boise market we do not have a lot of A&D loans down there; very limited at this point in time so sometimes it’s better to be lucky than good. But across the rest of the system we are seeing some difficult times in regards to lot sales. Where we go from here is still uncertain but if it continues to stay flat as it is, I think we have positioned ourselves fairly well as far as collateral values but then again if the market would continue to deteriorate we would see similar trends in our asset quality. Just a breakout, to answer your question specifically, a breakout of where our NPAs are at, of the $70-some million, OREO is $9.3 million and of OREO, $4.1 million is land and lots and $5.2 million is vertical construction or commercial buildings. A good chunk of that is actually commercial buildings or a small portion of that is commercial buildings but those are vertical buildings. Non-performing loans, about $62 million. $21.3 million is land and lots. Vertical is $32.3 and other collateral is $7.6 million.
Operator: Your next question comes from Brett Rabatin – FTN Midwest Securities Corp.
Brett Rabatin – FTN Midwest Securities Corp.: I’ve got a ton of questions; I’ll just ask a few. I first just wanted to start off with, if you mentioned it I didn’t hear it, but any thoughts on the TARP and whether you guys are thinking about getting involved and if you are what you would do with the money if you did?
Michael J. Blodnick: Yes. We would be remiss if we didn’t take a good hard look at the program and of course we, since it was announced, we have been looking at it, not necessarily because we need the capital like obviously a lot of other banks. But if we can get inexpensive regulatory capital then we would use it to probably take advantage of a lot of opportunities that we’re seeing that are being presented to us. So my guess would be that if we do involve ourselves in that program, that would primarily be the reason.
Brett Rabatin – FTN Midwest Securities Corp.: Will you be interested in distress situations or what’s your appetite on getting involved with?
Michael J. Blodnick: It would all, that’s a great question, Brett. It would all depend upon where the distress situations are. If it was a distress situation that’s totally outside of our current geographic footprint, boy we’d have to think long and hard. It’d have to be very, very compelling. Obviously if it’s a distress situation within our footprint and maybe something that could be rolled in or folded in to one of our existing franchises I think we’d be, yes we’d be very interested given, as you guys know we’re going to maintain the same level of discipline we have for 15 years. That’s the one thing I can guarantee is not going to change but yes, we would definitely be interested in looking at something like that.
Brett Rabatin – FTN Midwest Securities Corp.: Secondly, the loan growth this quarter was a little different than last quarter and I remember last quarter you had about half of your growth in HELOCs and I can’t tell if you had, it looks like you had maybe some of that in this quarter too. Have you been able to go back around since the last time we talked about HELOCs and analyze that portfolio and make sure none of the drawdowns were anything out of the ordinary?
Michael J. Blodnick: Absolutely. In fact, I specifically asked Barry the last two weeks to talk to each and every one of the banks about that point specifically and yes, we figure that it wasn’t the $46 million of the second quarter but we still figure that that was between $20 million to $22 million in additional HELOCs this quarter and I’ll let Barry tell you what he heard from all of the banks regarding the quality of the HELOC portfolio and where that originations came from.
Barry Johnston: Yes, we had loan growth in basically in our one to four revolving quarter-to-date, $26.4 million and I solicited all the consumer loan department manager and almost all the way across the board it was increase in originations was the sole driver. I think advance rates on existing portfolios went up by 1%, 1.5%; maybe 2% generically. But it was truly the volume came from originations. On the side of delinquency, knock on wood we’re still holding our own. Delinquencies are very low. I think with the one outlier is Mountain West Bank where we have 1.5 past due percentage there but the rest of the affiliates have past due percentages less than 0.5% so –
Michael J. Blodnick: Brett, one of the things that we are seeing is I think this is what Barry was saying is rather than, and that’s our concern and that’s why we were asking the questions. We want to make sure that all the growth isn’t coming from higher and higher and higher advance rate. That just was not the case but there has been a number of banks in this region that have gotten out of that line of business and we’ve had these discussions with all of our banks. HELOC lending is a line of business we like; we’ve always thought we did it right. We always felt we kept the values very manageable and at lower levels than maybe some even some of the other competition but now that some of these people are moving out of that space, we’re seeing that as an opportunity. Obviously, it’s something that you’ve got to be careful about but I think that so far I’ve been very pleased with the performance of that portfolio. That portfolio is just not at this point in time showing much in the way of any stress at all
Barry Johnston: Yes. One thing that we did do earlier in the year, we have two affiliates that were advancing over 80% on a limited basis to doctors or dentists or high net worth individuals. And early this year we discontinued that; nobody is exceeding 80% and where we take a automated underwriting or evaluation dollar amount on a home, we have lowered the limit down to 75%. If we obtain a full appraisal we will go up to 80% so we have tightened our underwriting there somewhat.
Brett Rabatin – FTN Midwest Securities Corp.: Just one last quick one and I’ll get out of the way. It looks like there might have been something in the other income bucket maybe out of the ordinary. Was there anything other than noise related to the securities write-downs in the quarter?
Michael J. Blodnick: Yes. The other issue was, in the securities area that was on a pre-tax basis, the $7.6 million we wrote down on the Freddie/Fannie but then we also did have, are you talking about expense or are you talking about on the income side?
Brett Rabatin – FTN Midwest Securities Corp.: The income side. Maybe out of –
Michael J. Blodnick: Yes. We did have the, after tax the $1 million from the sale of the Ketchum office in Sun Valley. We were approached by the city and some developers; they needed that space that we had to put in a downtown center and so they built us another branch that we’re going to lease going forward and we did sell them our existing facility in Sun Valley.
Operator: Your next question comes from Matthew Clarke – Keefe, Bruyette & Woods.
Matthew Clarke – Keefe, Bruyette & Woods: Can you give us a sense for the construction related loan growth in the quarter? I guess that’s embedded in that [Syrian] resi real estate bucket this quarter both commercial, I guess maybe split between commercial and resi related.
Barry Johnston: Yes, I can do that. Actually the one to four family residential construction loans ended at about $320 million. That’s down $62 million from the last quarter.
Matthew Clarke – Keefe, Bruyette & Woods: 10? How much? I’m sorry.
Barry Johnston: $62.0 million. Yes, $62.1 million which is reflective of primarily a decrease in our Mountain West Bank affiliate, primarily in the Boise market but also across the system. Other construction and land development loans went up $86 million. That was comprised of two categories. Land development went up $85 million but development lots, which basically are one category, went down $18 million for a net $66.7 million increase in land development. And that is advances on existing loans that we have had in our system for the last two or three years. As we complete a lot of these developments, we’re in the latter stages of them and as you’re probably aware, once you get started on these projects you just can’t stop. It’s not like stop and go; you have all your infrastructure, you have all your embedded costs early in the project and you truly have to finish it out. We have not originated any new land or development loans in the last year other than maybe one or two minor ones that I can remember, at least anything above $2 million. So those are continued advances on those development loans. The other increase was in consumer land or lot. That’s where consumers or actually individuals, you and I are buying a lot to build a house and we have $44 million increase there in the quarter. The rest of the categories with the $82 million increase basically all went down to net out to the $87 million.
Matthew Clarke – Keefe, Bruyette & Woods: In terms of the, I guess ending point for the, just want to make sure I’m looking at some of the same numbers that have had previously. But the other construction and land development went up $86 million to what?
Barry Johnston: No, it went up $86 million total in the quarter. It went from $661 million to $748 million. Frankly, that surprised me a little bit too.
Matthew Clarke – Keefe, Bruyette & Woods: Within that, you were talking about the land development piece being up $85 million.
Barry Johnston: Yes.
Matthew Clarke – Keefe, Bruyette & Woods: How much was that?
Barry Johnston: Land development went up $85 million.
Matthew Clarke – Keefe, Bruyette & Woods: To what?
Barry Johnston: No, it increased to $85 million. Land went up $85 million to $312 million.
Matthew Clarke – Keefe, Bruyette & Woods: The developed lots seeing kind of number –
Barry Johnston: The developed lots went down $18 million to $83 million. I take that back; went down $18 million to $64 million and the, yes.
Matthew Clarke – Keefe, Bruyette & Woods: In terms of the spec construction I assume that spec one to four families, is that $320 million, really it includes the custom in the spec?
Barry Johnston: Yes. The breakout on the $320 million is pre-sold which is a builder has a house that’s spec and then he sells it either at or during construction. That’s $25.9 million. Spec is $181.3 million. Custom homes, that’s owner occupied custom homes is $93.5 million and then other single family residential, that’s individuals, remodels, whatever is $19.4 million.
Matthew Clarke – Keefe, Bruyette & Woods: On the land, just the unimproved land, you’re not seeing any issues there? I guess you’re still carrying.
Barry Johnston: Unimproved land as it sits is $124 million and that’s up a little bit from quarter end of $112 million.
Michael J. Blodnick: But in that area, Barry, we haven’t seen a significant amount of issues yet have we?
Barry Johnston: No. Unimproved land, it’s generally those are the individuals that buy land to either build a future home on it or use as part of their current properties. Almost in all cases, loan-to-values are 50% on that. No interest reserves are ever built into those loans and the individuals have to have the capacity to pay off the land over a term period usually five to 10 years so we just haven’t seen any of that, any issues there. All of our issues pretty much across the board are in the A&D portfolio with a lesser extent now in the spec home loan building but a lot of that has filtered its way through the system.
Matthew Clarke – Keefe, Bruyette & Woods: I guess the one component of the construction piece that we may or may not have hit on is just the commercial construction, is that not right? Maybe $200 million?
Barry Johnston: Commercial construction actually is pretty small. We actually, commercial office buildings, owner/non-owner occupied and other is a total of about $37 million. The other component is actually developed lots for operative builders. That’s where we have a builder guidance line; we have a builder and that’s $45.9 million. If you just want to email me I can give you those numbers.
Matthew Clarke – Keefe, Bruyette & Woods: In terms of, can you talk about any inflows and outflows in non-accrual and OREO, I guess on a gross basis, what you saw coming in and what you saw going out, if anything?
Barry Johnston: On just OREO or NPAs in total?
Matthew Clarke – Keefe, Bruyette & Woods: If you can split it out, that’d be great.
Barry Johnston: On OREO I think, well, through the first part of the year all of our OREO actually, just to give you a heads up is centered primarily in one affiliate bank. Of the $9.3 million, $6.8 million is centered in Mountain West Bank and of that $6.7 million in Mountain West Bank, $3.2 million is land and lots and $1.5 million of that is one development in Boise. The rest is both builder lots throughout the state and then $3.6 million is vertical construction and that is centered almost entirely in spec home loans that we’ve repossessed.
Michael J. Blodnick: And I would also say that most of that is also in the Treasure Valley.
Barry Johnston: Correct. The rest of the OREO, we have three spec home loans for $1.2 million down at Citizens Community Bank and that pretty much makes three lots, recreational lots at Big Sky Western for 624. One home in First Security for 339. First Bank of Montana was previous bank premises for 286.
Michael J. Blodnick: I might also mention to everyone in light, I’m down here in Boise today. I just happened to, this morning I was giving a speech to a large group and before me there was an economist. Clearly, they’re not out of the woods yet in Boise. I think they’re working through the spec construction and some of the vertical construction but there is a large supply of lots available and like Barry said earlier, one of the things that I think Mountain West did an excellent job of is truly avoiding most of that type of acquisition and development lending down in this market. They just don’t have very much at all and the one that we’ve already mentioned, the one that we did take back down here and wrote down, there’s just not much else down here that we have but there is a lot of other developments out there that are just sitting. So it’s going to be interesting to see how that dynamic plays out over the next six to 12 months here in the Treasure Valley.
Matthew Clarke – Keefe, Bruyette & Woods: Maybe lastly, are you able to maybe size up a list of classified assets or what might be, sounds like your delinquencies were down but maybe some visibility on classified assets that might come into that accrual?
Barry Johnston: Right now [inaudible] classified assets as everything is trending and have increased over the quarter. We would anticipate that given that the increase in those and the increase in the NPAs, that nothing significant, knock on wood, do we see in the fourth quarter not to say if this market doesn’t take a complete collapse that we wouldn’t see that. But as it stands today with the amount of NPAs we took on this quarter we definitely don’t anticipate seeing anything of that nature in the size increase in the fourth quarter. Not to say that if the market stays flat in some of these projects that are having difficulties, if things do not improve and then sometime next year, yes we would continue to see NPAs increase going through the first and second quarters of next year.
Operator: Your next question comes from Ben Crabtree – Stifel Nicolaus & Company, Inc.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: I guess going to jump around on a couple of things that have already been touched on and I guess maybe relative to the last subject, what are you hearing in terms of, is the [end migration] really turning down? We’re certainly seeing that in some of the Rocky Mountain states and I’m just wondering if in your markets if the [end migration] has really been cut off in that kind of situation. Has it become much more of a slower no-growth area?
Michael J. Blodnick: I wouldn’t say no-growth. I just saw some slides this morning, Ben, that the economist that was speaking before me showed and clearly if you take the Boise area, that growth has slowed but slowed from a very, very high pace and still the growth is so far above national averages and I also looked at population growth and expected population growth that he had over from 2007 out to 2012. And the six states that we’re in are still showing far above the national average as far as growth. Are we growing at the same pace we were back in ’04, ’05, ’06? No, I don’t think so. Maybe with the exception of Wyoming, Utah continues to be as far as population growth, Utah still is one of the fastest growers in the nation. Wyoming on a very, very small base though, Wyoming continues to see good population trends as does Montana. But again those are off of smaller bases. But overall, yes we’re not growing at the same pace of a couple years ago. That could, I think our expectations are that that could even continue to decrease as we move into ’09. I think part of the issue is going to be that as people in California and on the coast and some of these other markets that have been moving up here either to retire, relocate, whatever, they’re obviously having a difficult time getting any value for their home. And I think that’s one of the keys that got some of these people slowing down, rethinking at least for the time being, rethinking their plans. But overall generally the economies are still better than most other parts of the country and population trends again, lower, slower but still pretty good in comparison to the national average.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: Still positive absorption then in terms of, in real estate terms?
Michael J. Blodnick: Yes and that was interesting too in the Boise market because the growth is still clipping along pretty well but, and they are chipping away at that inventory and they are absorbing but it was a pretty significant buildup and it’s still going to take a while from what I heard.
Barry Johnston: One of the interesting statistics that we just received is that in the Treasure Valley, they actually had increased home sales in September over August and that’s the first time that’s happened in 10 years. And now you have a base that was pretty low, given that their home sales are off 20% and 30% on the valley but that’s one positive trend. You can’t hang your hat on it but at least it’s positive.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: Mick, I guess I want to go back and flush out something that you said. You were talking about, in response to the question about the TARP capital that you were talking about the lots of opportunities being presented to you. I know in the past we’ve talked about they’re not being a great big supply of failing banks in your market. Are you finding banks that are just tossing in the towel or are you seeing more that are really seriously stressed in your markets?
Michael J. Blodnick: No. We’re seeing the former. There’s just a lot of people that are tossing in the towel. I think there’s a number of individuals that are just saying, “Hey, I just don’t know if this is what I want to keep doing. It’s not fun anymore. The regulatory environment is killing us.” And again, Ben, as you well know, our space tends to be the smaller privately-held community banks and they’re facing the same regulatory oversight and burden and everything that larger banks are and I think that’s a big part of the recent uptick in inquiries. And so, yes, I think that, and as I mentioned when Brett brought it up, we don’t need the capital and knock on wood that next year it’s not going to be something that we would have needed it anyway. We’re still growing capital at a pretty decent pace and I’m not so sure that necessarily the TARP is our answer either. There are other things that we very well may pursue and I think hopefully we’re in a position to do that but we are definitely not going to, at least not take a good hard look. I think we would be as I said earlier remiss if at least we didn’t analyze it and that’s what we’ve been doing for the last almost 10 days now.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: It strikes me that most acquisitions that you would make, at least if they’re similar to your previous ones would be for stock anyway.
Michael J. Blodnick: Exactly, exactly.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: So you don’t, yes.
Michael J. Blodnick: And that then you don’t really need the cash.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: I guess the other allied question is if you had another, and I don’t know what your amount would be, but if you had another $50 million of capital could you really leverage it out given what’s going on let’s say in your economies and if what I perceive to be a more conservative underwriting stance?
Michael J. Blodnick: I don’t think, no. I think that’s a great question. I don’t think we could necessarily count on leveraging up with our existing footprint; that leverage would have to come from other acquisitions, asset purchases, things along that line, branch purchases. Some of those of course, if there’s an opportunity to buy branches or things like that, that would be something we’re very, very interested in. If we were going to build around more and more acquisitions and we did get some additional capital, again like this perpetual preferred, then you’d have to maybe steer some of these people to a little bit more cash in the deal too, Ben. Historically, we’ve always had, well it’s gone anywhere from 100% I guess down to about, well, we’ve done one deal that was 50/50 or two deals have been 50/50. We may have to push more on that side of it and utilize this cash that we generated if we decide to go forward.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: The last question is if you have any significant amount of either bank or level or holding company debt that is coming due between now and June that you might roll over into the guaranteed debt program? Have you looked at that and if that looks good to you?
Michael J. Blodnick: We absolutely have but boy it’s rotting myself; took a good hard look at that as another definite, another option because we’ve done that before in the past where we’ve stepped out during a good, where we’re able to get a good deal on trust preferred and knowing that we had something else more expensive coming due. But in this case it’s really not, it’s hard to say but we’ve got some that’ll be coming due in ’09 but right now, based on those, it doesn’t look like it’s materially different especially if you factor in that in the trumps they still are, there are still some tax advantages to them, that this is, the TARP is going to be 5% after tax so –
Ben Crabtree – Stifel Nicolaus & Company, Inc.: Well, I was thinking of the guaranteed debt issuance, where you might, the presumption is that banks that have issued guaranteed debt would get something much closer to a Treasury rate.
Michael J. Blodnick: On that, yes. Absolutely because we do know that there are dollars coming due and if we can, on a transition like that where if we can take that lower cost debt and sure we would look at doing something like that.
Ben Crabtree – Stifel Nicolaus & Company, Inc.: I just wondered if you had much coming due.
Michael J. Blodnick: Yes, there is starting in April of next year.
Operator: Your last question comes from Brad Milsaps – Sandler O’Neill & Partners L.P.
Brad Milsaps – Sandler O’Neill & Partners L.P.: Just a quick question; maybe more on the margin. It looked like on average you had about a $1.1 billion of other borrowed repurchased money on average at end of the quarter and I know, just curious what all was in that bucket. I know you use that Treasury program quite a bit. Just curious what the role on that stuff is; how liquid that market is right now and what effect that has on your margin going forward.
Michael J. Blodnick: Well, and I’ll let Ron comment too but we’ve been rolling in and out of the discount window. The Federal Home Loan Bank, the big program, the TIO program. We’ve got a couple of broker arrangements with actual brokerage firms and with us it’s been mostly, Brad, just where are we getting the best funding levels? And this obviously been something that has helped us out this year. It’s one of the things that’s been a big plus to our ability to maintain our earnings stream and yet at any given time we’re not wed to any one of those things. We have just as of the last 30 days, we’ve moved money back and forth from one to the other depending upon whose given us the best rate. Now the other thing is that we have kept a lot of that money short in expectation that rates were coming down and I guess my expectations, we’re going to see late rates lowered again on, at least the futures market is predicting that we’re going to see another 50 basis point reduction in rates come Wednesday. So we’re taking advantage of that, always mindful that, and we did this back in 2004, that at certain times we may choose, once we get our interest rate risk models in for the quarter, choose to at some point in time lengthen out a little bit. But right now we truly are keeping most of that money short because we just, and all the economists we’ve followed, we just can’t find too many that are feeling that there’s going to be a direct switch and rates are going to start screaming back upward.
Brad Milsaps – Sandler O’Neill & Partners L.P.: Maybe a question for Barry. Just curious about the provision this quarter. How much of it was specifically related to the loans that went on non-accrual and just how are you thinking about that going forward?
Barry Johnston: We really increased our provision. I think it’s in direct regards to what we were seeing earlier in the year knowing that the markets had [inaudible] and we would be facing increased provisioning. As noted, we covered our losses by about two to one which gives us a pretty good comfort level that we have been providing to cover anything coming down the road. I would not anticipate that we would back off much from where we’ve been. I think it’s only prudent that we do have a really strong capital base and more importantly we have a core earning base that gives us capacity to do that so I see us just continuing to increase the provision especially in addition to any net losses we have. And hopefully we can take, resolve some of the issues that we have or at least sell some OREO, liquidate some of these properties that have come online and then be adequately poised to go into 2009.
Michael J. Blodnick: You know, I’d like to, Barry brought up a great point and that is that we’ve been very fortunate that we’ve got the earnings to do some of these things and have some flexibility but we are ever mindful that we don’t know what’s going to happen next year. We don’t know if we’re in a recession which I suspect we are right now. How deep or how long is it going to last? Is that going to start to spill over into other asset categories? We just want to absolutely be prepared and that first and foremost is with a boatload of capital and secondly with a very, very strong reserve. And we’re committed to making sure we have both so far. And that’s been, this isn’t something new that we just started; those are things that we have always ran this company with. A strong capital base, a far above average capital base and a strong reserve and we’re just not going to change that. And yes, Barry’s right. I think we’ve got the resources and everything and we’re going to use those resources to continue to do what’s appropriate with the loan loss reserve and right now I don’t know a banker in the country that if they could, wouldn’t want to have a larger loan loss reserve.
Barry Johnston: Brad, just might want to add every time we take a non-performer or decide to put something on non-accrual, especially a large dollar book volume, it’s not feasible for your smaller credits but we go out, we obtain an updated appraisal or an evaluation if the recent appraisal is there. We ensure that we do have supporting collateral based on current market conditions and then as every quarter, as we go through our allowance evaluations, for its adequacy we update the values on that collateral to determine that if we have an exposure, we either provide for it or actually take the loss. So that’s fundamental to our process. We’ve been doing that from day one and while we have had some pretty good increases in the provisions, we have been fortunate not to have the actual losses that may have been the case had we not maintained some pretty conservative underwriting going in. But we have eaten up a lot of the borrowers’ equity in the last six months; there’s no doubt about it. We’re looking at principal dollars now.
Operator: And it appears as though we have no further questions.
Michael J. Blodnick: Well, thank you all very much. It’s exciting times but we sure like where we’re at. We like the position we’re in and well, we see a lot of opportunities as we look out over the next three to six months. And we’re going to be closing on the Bank of San Juans at the end of November and that’s going to be a great little addition to this company and hopefully we’re going to be able to work on some other things that are looking awful attractive too. So anyway thank you all very much and I guess we’ll talk with all of you later.